Operator: Ladies and gentlemen, thank you for your patience and standing by. Welcome to the FIS First Quarter 2017 Earnings Call. At this time all of your participant phone lines are in a listen-only mode, and later there will be an opportunity for question. And just as a brief reminder, today's conference is being recorded. And I'd now like to turn the conference over to Peter Gunnlaugsson with Investor Relations.
Peter Gunnlaugsson - Fidelity National Information Services, Inc.: Thank you, Justin. Good morning, everyone, and welcome to FIS' first quarter 2017 earnings conference call. Turning to slide 2, Gary Norcross, President and Chief Executive Officer, will begin with performance highlights of the company. Woody Woodall, Chief Financial Officer, will continue with the financial results for the first quarter. Today's news release and corresponding supplemental slide presentation are available on our website at fisglobal.com. Turning to slide 3, today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the Safe Harbor language on the slide. Materials presented today will also include references to non-GAAP financial measures in order to provide more meaningful comparisons between the periods presented. Reconciliations between the GAAP and non-GAAP results are provided in the attachments to the press release and the Appendix of the supplemental slide presentation. Turning to slide 4, it is now my pleasure to turn the call over to Gary to discuss the business highlights for the first quarter. Gary?
Gary A. Norcross - Fidelity National Information Services, Inc.: Thank you, Pete. Good morning, everyone, and thank you for joining us on our first quarter 2017 earnings call. I am very pleased to open today's call reporting that FIS had a strong first quarter with good performance overall, exceeding our expectations. We delivered strong and profitable growth, and we see solid demand for our solutions. We continue to build on the momentum established over the last several quarters, capitalizing on new market opportunities and delivering on client commitments. I am very pleased that our focused efforts have enabled us to exit the quarter with strong year-over-year financial results producing continued shareholder returns. Turning to slide 5, in the quarter, revenue increased to $2.3 billion, with adjusted EBITDA growing more than four times as fast as revenue at 7%, and adjusted earnings per share rose 9% to $0.86 per share. Our teams remain focused on identifying and executing the SunGard integration actions, the most transformative acquisition in our nearly 50-year history. I am pleased to report that we now have line of sight to exit 2017 with an updated cost synergy run rate of more than $300 million. These first quarter results underscore our confidence in achieving our full year 2017 plan. Turning to slide 6 to review segment highlights. Our Integrated Financial Solutions segment drove expected top-line organic revenue growth for the quarter and strong year-over-year margin expansion. Importantly, growth was driven by a broad base of solutions across the segment. In the quarter, our IFS segment signed several new competitive takeaways encompassing our core banking, digital, and payment solution offerings. For example, a Midwest community bank with more than $9 billion in assets selected FIS to help advance its digital banking and payment strategy through our new online banking, bill pay, and mobile capabilities. A second smaller Midwestern community institution with more than $750 million in assets is converting to an FIS-integrated solution suite encompassing core banking, branch automation, and bill pay, to gain operational efficiencies and enhance its customer experience. Our corporate and digital businesses had another solid quarter supported by both new client wins and increased user adoption. Continued adoption to digital solutions will provide ongoing opportunities for FIS, as financial institutions embrace transformational change to a new digital user experience. An example of this trend, and the power of combined FIS and SunGard, is the launch of our new digital corporate payment solution. This new money movement delivery model for commercial customers combines assets from both organizations into a new integrated payable offering, eliminating the need for checks and wire transfers. Although still in early innings, we see strong opportunity for adoption of this solution replacing traditional paper and commercial payments in creating new revenue synergies for FIS. For the remainder of the year, our IFS segment will continue to focus on sales execution, cost containment, and investing in digital technologies and services that will drive differentiating value for our clients. Our Global Financial Solutions segment also delivered a solid quarter. This was driven primarily by our international banking and payment solutions. Our Brazilian card processing business signed a significant new agreement with one of the country's leading banks to convert and process more than 2.3 million cards on our card processing platform. As expected, our institutional and wholesale business faced a difficult comparable, primarily driven by a large license renewal in Q1 of last year. We expect this business to continue its historical performance growth trend in the back half of the year. As discussed last quarter, we are seeing ongoing success through the bundling of solutions creating new offerings from our I&W business. These new offerings will have cross-product capabilities, such as data integration and a common workflow and user experience. We expect them to drive additional contribution within this segment and as another example of our ability to drive revenue synergies through our combination. Demand for our risk and compliance IP solutions remained strong in the quarter. This growth was underpinned by several new wins with top-tier institutions, including a leading bank located in the Middle East, with more than $180 billion in assets has selected an FIS solution bundle to enhance its assets, liability, liquidity, risk and capital management capabilities. In addition, a leading financial institution based in Asia Pacific is teaming with FIS to improve its risk management capabilities within its insurance line of business. Our derivatives utility continues to perform well since the on-boarding of our second major client last year. We continue to see strong interest in the utility and are encouraged by its long-term prospects. For the remainder of the year, our GFS segment will continue to focus on sales execution, cost containment, and creating solution bundles to provide our buy and sell-side clients a differentiating advantage within their highly competitive marketplace. Moving to slide 11, these results confirm that executing on our strategy, including integrating and repositioning the former SunGard businesses into FIS, is delivering the desired results. Steady execution, coupled with constant improvements in our cost structure and overall performance, remains our focus to drive continued earnings growth this year. Strategically, we are investing in the business to deliver long-term revenue growth and consistent shareholder returns. Our investment focus remains on expanding our broad array of IP-led solutions that drive both efficiencies and cost savings to create modern day, digitally-based user experiences across all our markets. Before I turn the call over to Woody for the financial review, I'd like to summarize by reemphasizing that we are very pleased with our first quarter results. These results stem from our large and loyal client base. A few weeks ago, we hosted our annual CONNECT client conference, showcasing for the first time our combined portfolio of banking and payments and institutional and wholesale solutions to our clients and partners. We nearly doubled the attendance from 2016, and we saw strong interest in our core modernization, digital experience, and cloud-based solution investments. This strong client interest, combined with our strong pipeline and Q1 performance, gives us confidence in achieving our full year results. With that as a focus, we will continue driving our strategy forward, with decisive actions against our three growth levers to deliver sustained value to our clients and our shareholders. First, we will continue to execute on our multifaceted investment strategy to deliver new, differentiating capabilities leveraging digital technology and advanced analytics to help our clients better compete in a crowded marketplace. Second, we will continue to capitalize on our expanded scale, operating leverage, and our disciplined integration to fuel growth. Third, our strong cash flow generation enables us to invest for growth, continue to pay down debt, and return capital to shareholders. Woody will now provide additional detail on our financial results for the quarter.
James Woodall - Fidelity National Information Services, Inc.: Thanks, Gary. I'll begin on slide 9. In the first quarter, revenue increased to $2.3 billion, or 1.7% on an organic basis, and adjusted EBITDA grew to $682 million, a 7% increase compared to the prior year. This represents 200 basis points of margin expansion for the quarter, reflecting continued growth and higher-margin IP-led product sales and positive impacts from ongoing synergy actions. Adjusted net earnings from continuing operations was $286 million, and adjusted earnings per share increased 9% to $0.86 per share, compared to $0.79 per share in the prior year period. In the first quarter, we reported GAAP revenue growth of 3.4%, which was higher than our organic growth of 1.7%. This was primarily driven by deferred revenue variance associated with the SunGard transaction and the impact of the public sector and education divestiture, which was completed in the first quarter of 2017. The impact of foreign currency exchange rates for the quarter was insignificant. A detailed bridge of revenue growth from GAAP to organic is included in the Appendix material. Moving to slide 10, in the first quarter, Integrated Financial Solutions' organic revenue grew 1.5% to $1.1 billion. Adjusted EBITDA increased to $442 million, an increase of 4.3% compared to the prior year. EBITDA margins improved 110 basis points to 39.2% for the quarter, driven primarily by improved revenue mix and continued cost management. Turning to slide 11. Banking and wealth grew 1.3%, which was in line with our expectations, due to the previously discussed completion of the people-based risk project. Absent this short-term project, banking and wealth would have grown over 5%, and total IFS would have grown over 3%. Payments was essentially flat for the quarter, driven by the anticipated grow over (10:55) of EMV card production. As discussed on our previous calls, we expect these two headwinds to continue through the second quarter of 2017. Corporate and digital grew a healthy 6.1%. Demand for these solutions remains robust. Also, as Gary mentioned, a new integrated payable solution, which was created by combining assets from FIS and SunGard, was a contributor to the growth. Turning to slide 12. In the first quarter, Global Financial Solutions' organic revenue grew 3% to $1 billion. Adjusted EBITDA increased to $283 million, an increase of 12.8% compared with the prior year, resulting in 240 basis points of margin expansion. We are pleased with the consistent margin expansion in this segment, as higher-margin IP-led solutions are driving growth, and ongoing synergy integration efforts continue to positively impact our margin profile for this segment. Moving to slide 13. Our institutional and wholesale business declined 1.5%, in line with our expectations. Growth was impacted primarily by our previously discussed difficult license comparable in our global trading solutions business. Banking and payments produced strong organic revenue growth of 9.2%, driven primarily by payment volumes. We continue to see positive results from our European and Asia-Pacific markets, and Brazil continues to perform better than our expectations. Consulting grew 3.5%, and we expect to continue to grow in the single digits for the remainder of the year. Moving to slide 14. Revenue from our nonstrategic assets and Corporate and Other declined 6.6%. As we discussed on our last earnings call, we expect this segment to create approximately 1% of top-line headwind to consolidated organic revenue growth for the year. Corporate expenses were $70 million, a 7.4% decline from the prior year, driven by ongoing integration and cost management initiatives. Moving to slide 15. For the quarter, free cash flow was strong at $363 million, or 127% conversion. We repaid $1 billion of debt in the quarter, resulting in $9.5 billion of debt outstanding as of March 31, with $2 billion of debt repayment since December 2015. We remain focused on debt reduction and deleveraging the balance sheet. As we announced earlier this year, the board of directors approved a 12% increase to our quarterly dividend, and we paid $95 million to shareholders in the quarter. We ended the quarter with weighted average shares outstanding of 333 million on a fully diluted basis. As expected, and previously discussed, our non-GAAP effective tax rate decreased to 32% for the quarter. Moving to slide 16, I would like to provide some color on our expectations for the second quarter. In the first quarter, the business performed above our original expectations. It also benefited from an additional $0.01 to $0.02 of earnings per share that were originally anticipated in the second quarter. Therefore, we expect the second quarter earnings results to be in the range of $0.96 per share to $0.98 per share. We're very pleased with the start to the year and remain highly confident in our ability to meet our full year guidance. We are reiterating our 2017 outlook for organic revenue growth, EBITDA, and earnings per share. As Gary mentioned, we are also increasing our expectations of synergies and now expect to exit the year with a cost synergy run rate exceeding $300 million. We remain focused on consistently improving cash flow generation, deleveraging our balance sheet, investing for growth, and returning cash to shareholders. That concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: Thank you. . Looks like our first question comes from the line of Dave Koning of Baird. Your line is open.
David J. Koning - Robert W. Baird & Co., Inc.: Yeah. Hey, guys. Thanks. A nice job.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thanks, Dave.
James Woodall - Fidelity National Information Services, Inc.: Thanks, Dave.
David J. Koning - Robert W. Baird & Co., Inc.: Yeah. And I guess my first question, you reiterated guidance, but it seems like things are a little ahead of schedule, the synergies you raised, and it looks like FX is probably a little less of a headwind. So I'm wondering, I guess, are you just trying to build a little conservatism or maybe some of the synergy is really far more into 2018 benefit than 2017. Maybe you can just talk through those – a few of those puts and takes.
James Woodall - Fidelity National Information Services, Inc.: Yeah. On the $300 million increase, Dave, I will tell you, more of that benefit is going to drive into 2018 based on the timing of when we see the synergies coming out. The second would be, not dissimilar to last year, we're off to a very good start, but one quarter doesn't make a year, but we feel very good about the full year outlook. We had a $0.04 beat, very clean beat in my view, and about $0.01 to $0.02 of that was really anticipated in the second quarter. So we pull the second quarter down slightly from market expectations, but feel very good about the start to the year and meeting our full year outlook.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, Dave, just to add a little bit to that. That's exactly right. We feel very good about the year. But to Woody's point on synergies, as you can imagine, we've talked about this on multiple quarters. We're now in the phase of integrating our companies, where we're really into some of the heavy-lifting projects and so these take time. And so that naturally pushes us more towards the back half of the year. The easier synergies that come out more cleanly, obviously, have occurred and we're very focused on not wanting to break the business. So, all of those things would push that run rate to the latter part of the year in 2018.
David J. Koning - Robert W. Baird & Co., Inc.: Okay. Great. And then my one just follow-up. In Q1, you called out a bunch of headwinds and you gave us a heads-up on these going into the year. Is it fair to say in aggregate, all those headwinds were maybe a few percent, in that Q2 is to going to look a lot like Q1 with a few percent headwind pretty similar, kind of a couple percent organic growth in Q2?
James Woodall - Fidelity National Information Services, Inc.: I think that's a fair outlook. We'll continue to face similar headwinds in the second quarter. And then you'll see the acceleration in the back half of the year as we anniversary those comparables.
David J. Koning - Robert W. Baird & Co., Inc.: Okay, great. Thanks. Nice job.
James Woodall - Fidelity National Information Services, Inc.: Thanks.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thanks, Dave.
Operator: Next question comes from the line of Darrin Peller of Barclays. Your line is open.
Darrin Peller - Barclays Capital, Inc.: Thanks, guys. Nice start to the year. Just wanted to touch on, Gary, first, what you're seeing in terms of the environment. Obviously, we came out of last year with seeing steeping yield curves and potential for a less regulation. In your client base, can you give us a sense on the feedback you are having about potential for incremental spending? I know a lot of this may come later in the year, but what kinds of projects are banks looking to do now? Is there a pick-up at all? Thanks.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, Darrin, it's a great question. And I would tell you, a lot of our clients are very optimistic that we're going to see some regulatory pullback, and we're going to see some other changes by the current administration. But I think in general, everybody is in a wait-and-see mode. What I would tell you, though, is we had a very strong Q4 in sales. Q1, we had nice sales across the board with some strength definitely in our I&W space. So we're continuing to be bullish on the sales environment. The team is executing well. Pipeline is full. We're not seeing any real impact from Brexit and some of the changes at this point in time. There are some other regulatory changes that are being implemented around the world that, frankly, could be a tailwind for us as well. So we're continuing to monitor those. But at this point in time, I would say from business environment, it's kind of business as usual and we see a slow steady strengthening that we saw last year.
Darrin Peller - Barclays Capital, Inc.: Okay. And then just when we think about the puts and takes – I know this just came up from the prior question, but when you back out a lot of the noise, the comps, the tough comps and some of the items around licensing fees, et cetera, you're growing over, and you consider the opportunities you've been able to see around cross-selling now with SunGard. I know at your Investor Day you had talked about maybe coming in at the high-end of revenue range over time if you can executive more on cross-selling. Could you just give us a little more color on what the actual underlying run rate you see in the businesses? I mean, on your guidance obviously 2% to 3% (19:20), and then there is some onetime items even in that. So, is this a 4% grower right now in your mind in terms of top-line? And is there – have you been executing as well as you would have expected yet on any of those cross-selling initiatives?
James Woodall - Fidelity National Information Services, Inc.: I think the organic revenue growth that we outlined for the segments, which IFS at 3% to 4% for full year and GFS at 4% to 5%, are in line with where we anticipated. They're in line with sort of the multi-year guide on revenue growth, organic growth there, and that kind of pulls the noise out there. The 4% to 5% in the GFS, there is a couple of things. One, we are seeing some cross-sell opportunities between pulling SunGard assets together, even within their existing business across silos that we're breaking down. And then we're seeing some rebound in our international business with 9.2% growth for the quarter and a good outlook for the year. So I think we're confident in the numbers, but feel like the ranges we outlined a couple of the years ago in May are still close to where we think we're going to land.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, adding a little bit to that. I think, Darrin, when you back up and really look at the overall SunGard integration, we came in, obviously, getting very focused on cost synergies, because those are in our control and executable fairly quickly. As you've seen, we're now guiding to exit the year with more than $300 million. So we – I would argue, we're ahead of where we thought we'd be at this point in time. When I look across on upsell, we've started to see some good pull-through in the former SunGard businesses, where those two – where they had products that could be bundled together as a solution and sold to clients. And I would say that we're actually on target with that with some nice growth opportunities. The one that I would say that we're a little ahead of where we thought we'd be at this point would be we're starting to see now opportunities of bundling SunGard capabilities with former FIS capabilities, as I referenced in the commercial payment opportunity. And those are early stages, but we think could really be nice revenue growers for us in the future. So will they make a difference in 2017? No. But as you start looking out in 2018 and beyond, that could easily give us – push us more towards the upside of our ranges as long as there are other macro issues that we're seeing, right? That wouldn't be a headwind.
Darrin Peller - Barclays Capital, Inc.: Okay. That's great to hear. Thanks, guys.
Operator: Next question from the line of David Togut with Evercore ISI. Your line is open, sir.
David Mark Togut - Evercore ISI: Thanks. Good morning. (22:03) $180 billion asset bank you signed in the Middle East, I'd like to understand a little bit more, I guess, their rationale for picking FIS. I know you've long targeted kind of the mega banks and this looks like a good proof point of success there.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah. David, we've actually had quite a bit of success in that region for the several years. I think what's really exciting about that one, it's a great example where, prior to the acquisition of SunGard, we would have come in and sold them one or two products. If you look at that lift of capabilities that we're delivering, that's the exact example I was just mentioning with Darrin, where we're literally bundling capabilities, and therefore, getting a much larger engagement because of it. So what we're seeing in that size, there is a lot of banks are really looking for ways to – they're dealing with regulatory change worldwide, right? They're dealing with increasing costs and accelerators worldwide. They're all dealing with legacy platforms that need modernization. And if you look at that bundling that we just accomplished, you're now – an institution of that size is really transforming those capabilities to FIS to next-generation solutions on a bundled basis that allows them to lower their overall total cost of ownership. So it is a great example and a good success point of just the power of this combination.
David Mark Togut - Evercore ISI: Can you translate that success to mega banks in the U.S. with the SunGard cross-selling?
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, I think we will. I think what you're going to see is translate that globally, right? So what we're doing, as we put these companies together, one of the first things we did was we pulled the sales organizations directly out of the individual product lines. And when – we elevated them up on an enterprise basis, and then we modified the commission plans so they drive – so it actually incents cross-sell and upsell and this bundling capability. So we believe we're going to see more and more of that and every quarter, we're trying to give some real examples of that success.
David Mark Togut - Evercore ISI: Got it. Quick final question. You called out the 2.3 million accounts that Banco Bradesco just signed. What's the timing of that conversion?
Gary A. Norcross - Fidelity National Information Services, Inc.: We're going to on-board those accounts throughout 2017. It goes in two waves and so, yeah, it's good to see that our payment capabilities continue to grow in that country.
David Mark Togut - Evercore ISI: Understood. Thanks very much.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thanks.
James Woodall - Fidelity National Information Services, Inc.: Thanks, David.
Operator: Your next question comes from the line of Brett Huff of Stephens. Your line is open.
Brett Huff - Stephens, Inc.: Good morning, guys. Congrats on a nice start to the year.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thanks, Brett.
James Woodall - Fidelity National Information Services, Inc.: Thanks, Brett.
Brett Huff - Stephens, Inc.: On the free cash, it came in really strong. Woody, is that sustainable through the year or is that a timing thing? Any sort of commentary on that? And then, did you – can you remind us if you gave us a free cash growth range or target range for the year?
James Woodall - Fidelity National Information Services, Inc.: Yeah, two things on there, Brett. One, we have a little bit of timing around cash taxes, so say with the PS&E sale. But the good news is, we saw good working capital management, good improvement in DSO, and continue to think we can drive some benefit there for the year. We've guided more of a long-term view around about 100% conversion rate. I would tell you we're looking a little north of that in our forecast right now. Again, early in the year, but very pleased with cash generation right now.
Brett Huff - Stephens, Inc.: Okay. And then, in the Corporate segment, we've had some questions about trying to model the disposition of the PS&E. Is the run rate that we're – or the number that we saw in 1Q, compared to going forward, kind of how should we model that on a quarterly basis, both from a revenue and a profit point of view? I just want to make sure that we, on the Street, get that model right.
James Woodall - Fidelity National Information Services, Inc.: Yeah, try to give you some color around that. We did $111 million in the first quarter. PS&E had been about a $240 million a year contributor. We had one month in January. So if you pull that out, you're probably in a $90 million or so, Brett, of ongoing per quarter revenue. We think our corporate expenses are going to be in that $70 million zone, maybe ticking down slightly over the course of the year. So I think that gives you some color around what we think. As you know, we continue to have some headwinds in that area, based on the check business and our commercial services business that we talked about on the previous call, but that should give you some color around how to model that.
Brett Huff - Stephens, Inc.: Great. Thank you, guys.
Operator: And our next question comes from the line of George Mihalos of Cowen. Your line is open.
George Mihalos - Cowen & Co. LLC: Great. Good morning, guys. Just wanted to start off, the strong margins and the outperformance that we saw in IFS on the margin side. Woody, maybe you can kind of bucket for us how much of that was synergy-related versus some of the more favorable revenue mix and some other things that drove the upside?
James Woodall - Fidelity National Information Services, Inc.: Yeah, I would tell you, it was a little less on the synergy side. As you might imagine, we don't see as much synergies coming out of the IFS group as we do GFS, where more of the SunGard assets landed. But we certainly are seeing improved revenue mix. One of the items in banking and wealth that was a headwind was the people-based risk project that we talked about. Absent that, the remaining IP-led growth is driving higher incremental margin. So those are really the two components. Obviously, revenue mix being the larger driver, with a smaller driver in integration and cost management.
George Mihalos - Cowen & Co. LLC: Okay, great. And then, just as a quick follow-up. The $0.01 to $0.02 pull-forward from 2Q, is that all synergy-related, or is there anything else going on there? Thank you.
James Woodall - Fidelity National Information Services, Inc.: We had a small term fee we anticipated to close in Q2. It closed in Q1 instead. That's just under $0.01, was the primary item. And then just continued better cost management was probably the other.
George Mihalos - Cowen & Co. LLC: Thank you.
Operator: The next question from the line of Tien-Tsin Huang of JPMorgan.
Tien-Tsin Huang - JPMorgan Securities LLC: Thanks. Good morning. Just maybe overall, I'm curious just if there's a way to quantify TCV versus expectations in the quarter, because you did give a few nice wins like Brazil. Just curious overall how that came in versus plan.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, Tien-Tsin, overall, we had a strong sales quarter. One of the nice things about our company is, we've got a very diversified revenue stream. So it allows us – as some things might have a soft quarter, other areas we're seeing areas where it picks up. But overall, the quarter was strong in sales. Our IFS business had a little slower start to the year, but frankly, that's coming off a very strong Q4. So that would be in line with what we expected. The institutional and wholesale business and the GFS businesses actually had a very nice quarter. So in balance it was a strong start to the year.
Tien-Tsin Huang - JPMorgan Securities LLC: Okay. Thanks for that. And just on the pull-forward, I know you just gave the $0.01 was term fee. Did you say which – Woody, which segment that was in? Just from a modeling standpoint, where we should think about 2Q versus 1Q there?
James Woodall - Fidelity National Information Services, Inc.: Yes, there were two small term fees, one in GFS, one in IFS. They aggregated to just under $0.01.
Tien-Tsin Huang - JPMorgan Securities LLC: Okay. It's relatively balanced. Thank you.
James Woodall - Fidelity National Information Services, Inc.: Yeah.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thank you.
Operator: Next question is from the line of Jim Schneider of Goldman Sachs. Your line is open.
James Schneider - Goldman Sachs & Co.: Good morning. Thanks for taking my question. Maybe, Gary, if you could start-off in terms of the outlook you see for client consolidation in the bank space. Clearly, with rates going up, it seems like there's a little bit more deal activity happening. So maybe give us your view on whether you expect any acceleration in terms of that? And then maybe, Woody, if you can little set us for what your expectations for total term fees this year is.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, on consolidation, Jim, it's a good question. We continue to see, frankly, record levels at least from a historical context throughout last year, and we've modeled that essentially throughout this year as well. I don't know that I necessarily see it accelerating somewhat dramatically. Although I do think deal flow and consolidation is going to be very strong throughout the industry, especially from a U.S. standpoint. That's going to maintain unless we see some recovery in the de novo activity, which right now there's little indication that you're going to see rapid acceleration there. So we've modeled consistent consolidation as last year, but with no real reduction.
James Woodall - Fidelity National Information Services, Inc.: On the term fees, I think we gave some color that we would anticipate term fees to go back in line with sort of traditional norms, which I would tell you are in about $40 million to $50 million range. We're still forecasting and believe that's the right outlook. That's what we had in our plan and that's what we still see as the outlook right now as $40 million to $50 million full year.
James Schneider - Goldman Sachs & Co.: Thanks. That's helpful. And then maybe as a follow-up, can you maybe talk a little bit about the pipeline you see for the Capco business? I know you talked about the 3% growth in the quarter and expecting to see similar trends for the year. Do you see a pipeline of new business in the consulting area building, such as you get to maybe high single digits by the end of the year, or is that too soon to call?
Gary A. Norcross - Fidelity National Information Services, Inc.: Jim, we're very pleased where we are with the turnaround of Capco. Lance and his team has done a great job of really transforming that back to traditional consulting. We see a very robust pipeline ahead of us. But we – as we've talked about on other calls, we're looking for that business to perform in that mid-single-digit kind of range this year and we think that's going to continue throughout the year. But we're very pleased with how the business has been performing. It performed well in Q4, well in Q1, and the pipeline looks really good. We have line of sight into a little outside of 90 days. Our book-to-bill is running very consistently. So the team is doing a very nice job with that business.
James Schneider - Goldman Sachs & Co.: Thank you.
Operator: Our next question from the line of Joseph Foresi of Cantor Fitzgerald. Your line is open.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. I was wondering if you could talk a little bit about your digital initiatives. Any particular products you could highlight and how are you capitalizing on some of the opportunities there?
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, Joe, it's a great question. We're doing a lot in digital. Certainly, when you think about lot of our legacy platforms, many of them are in various stages of transformational with some kind of digital enablement context to them. We started originally several years ago in the whole mobile banking arena. We continue to see mobile digital banking grow very nicely for us. I highlighted that in the call, but your point is dead on. Other legacy systems, as we're going through the transformation process, we've got a number of core banking initiatives going on. We've got a number of payment-based initiatives going on. We've got a number of institutional and wholesale initiatives going on. And all of them are leveraging our digital frameworks that we produced in the company. And that also bring us nice synergies as we go through that development pipeline. But over the next several years, you're going to see a lot of transformation on our platforms and most of those, if not all of them, will some have some kind of digital component to them.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. And just as a follow-up. I know it's a little early, but any thoughts on bank budgets for the second half of this year and heading into 2018, particularly around interest rates and regulations? Is there any loosening up of budgets? And do you expect any improvement in the back half of the year? Thanks.
Gary A. Norcross - Fidelity National Information Services, Inc.: We do see some improvement in the back half of the year. A lot of that's due to comparables in the first half. I would say, in general, there is a general sense across our clients of interest in growing and expanding spend. Several of them are in a wait-and-see mode though, as I've discussed earlier on another question. A lot of the things impacting would be significant regulatory reform, and they really are watching for that. With that being said, as interest rates continue to go up and NIM continues to expand, dollars are available. So we're making sure that we're selling into that in the appropriate way and the sales teams are aligned around certain areas where clients have really been holding back over the years. But I think, frankly, we'll see a lot of this be more of a benefit in 2018 and beyond. I think it's just still early to determine what truly will be the regulatory pull-back, if any, what truly will be some of the changes, and that will take a while for the industry to digest and then free-up their budgets.
Joseph Foresi - Cantor Fitzgerald Securities: Thanks.
Operator: Our next question comes from the line of Paul Condra, Credit Suisse. Your line is open.
Paul Condra - Credit Suisse Securities (USA) LLC: Hey, great. Thanks. Good morning, everybody. And I just, I guess, wanted to get an update on the deleveraging just because it seems like it's progressing nicely. And so where do you think you'll be by the end of the year in terms of leverage? And maybe update on capital allocation and share repurchase thoughts.
James Woodall - Fidelity National Information Services, Inc.: Yeah, very pleased with cash generation, again. That coupled with the proceeds on the PS&E sale, we paid down $1 billion in debt in the first quarter, real pleased with that. As we've outlined before, we anticipate repaying all maturing and pre-payable debt in 2017. That will continue to deleverage the balance sheet. We added some color that we would anticipate being below $9 billion of outstanding debt by the end of the year and, obviously, above $3 billion in EBITDA. So you're looking at a sub-3 turns, working our way back towards that 2.5 times we've talked about. I would tell you, we won't get all the way there by the end of 2017, but we're probably going to end up in 2.75, 2.8 zone based on our projections right now. Based on the timing of cash flow and the repayment timing of the debt, we do anticipate having excess cash in the back half of the year really approaching the fourth quarter. And we would look at that excess cash and try to find the best way just to drive shareholder value at that time. That could be a use and do share buyback could be inorganic, but we'll certainly have excess cash in the back half of 2017 and flowing into 2018.
Paul Condra - Credit Suisse Securities (USA) LLC: Okay, great. Thanks. And then just on the GFS and the banking and payments, a good step-up in growth there and I was curious just to get your thoughts on how sustainable you think that is and maybe you can just kind of dive into the drivers there in a little more detail.
James Woodall - Fidelity National Information Services, Inc.: Yeah. The driver is really around payment volumes across Europe, across Asia-Pacific and into Latin America, We saw very good growth across all three of those. Our outlook right now shows us being a sustainable sort of a high single-digit kind of growth area for us this year. So feel very good about the start and the outlook in GFS banking and payments world.
Paul Condra - Credit Suisse Securities (USA) LLC: Any issues with – any political issues in Brazil? Any kind of hiccups you're expecting or anything?
Gary A. Norcross - Fidelity National Information Services, Inc.: We've really haven't seen any impact. We're, obviously, continuing to monitor that. Brazil continues to be in a very difficult economic crisis, and I was recently down there, a number of us were down there meeting with our clients. They're, like a lot of our financial institutions around the world, though, trying to deal through that, but also focused on how do I modernize my platforms? How do I roll out next-generation capabilities? Because while that's going on, the market evolves and consumer behavior evolves, so it's important to capitalize on those even during difficult times. So we're working with our clients down there, but the quick answer is we haven't seen any impact through geopolitical.
Paul Condra - Credit Suisse Securities (USA) LLC: Okay. Thanks for the time.
Operator: Next question from the line of Chris Shutler of William Blair. Your line is open.
Chris Charles Shutler - William Blair & Co. LLC: Hey, guys, good morning.
Gary A. Norcross - Fidelity National Information Services, Inc.: Good morning.
Chris Charles Shutler - William Blair & Co. LLC: In institutional wealth, I know there was a tough comp, but it seems like that number is maybe a little lighter than you were expecting. Can you walk through what numbers would have looked like without the tough licensing comp? What you're expecting for Q2? And what kind of line of sight you have into the back half, given that Q4 is a pretty heavy license quarter?
James Woodall - Fidelity National Information Services, Inc.: Yeah. I'd start out with, I think it was exactly in line with our expectations. If you pulled out the comp, it would have been a little over 2% growth for the quarter, and full year, we still think that's going to be in line with overall GFS growth, in that 4% to 5% zone. And it's, again, actually performing better than the original pro forma on the acquisition model. So, very pleased with it, absolutely in line with our expectations for the quarter.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, and I just want to clarify one thing, Chris. You're exactly right, Q4 is a heavier license quarter. But keep in mind, I mean, we've got license fees that flow throughout the year in this business. And so, we've said multiple times, this business will be a little more lumpy than what you've traditionally seen in the past out of FIS. It's still all IP-led, so profit margins are very high. But depending on when those license fees flow, you might get a little more lumpiness quarter-on-quarter. But all-in-all, as Woody said, it's performing exactly to expectations and, frankly, performing well ahead of where we modeled.
Chris Charles Shutler - William Blair & Co. LLC: Okay, great. Thanks for the color. And then, secondly, on the SunGard cost synergies, can you just give us some sense what level of, in your cost saves, you're expecting to see this year? I think we had that number pegged around $100 million, just want to make sure that we're thinking about that neighborhood correctly.
James Woodall - Fidelity National Information Services, Inc.: I think that was a fair number. As we increased the number to $300 million from a run rate perspective, a vast majority of that benefit is going to flow into 2018. So I think you're in the ballpark there.
Chris Charles Shutler - William Blair & Co. LLC: Okay. Thanks, guys.
Operator: And our final question comes from the line of Ashwin Shirvaikar from Citi. Your line is open.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Thanks. Hi, Gary. Hi, Woody. Good morning.
Gary A. Norcross - Fidelity National Information Services, Inc.: Good morning, Ashwin.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Good start for the year. You had two – at least a couple of quarters of pretty solid sales growth, partially driven by digital. The question really is, is that digital growth incremental to overall growth, or is that partly a replacement to prior branch-related work? And if you could talk a little bit about the conversion of bookings to revenues, is that a similar cadence to traditional work?
Gary A. Norcross - Fidelity National Information Services, Inc.: Yes, let me start with the cadence question. Typically, the cost of our sales are so IP-led that traditional 6 to 12 months of on-boarding cycle is fairly traditional across most, if not all, of our products. So, whether we highlight digital growth or something over an institutional wholesale, that on-boarding time period is pretty consistent. So, strong sales would be a precursor, obviously, for the future, at that 6, 9, 12 months out. Your first question relating to, is digital really replacing branch automation, we definitely – in branch work, what I would tell you is, we definitely see consistent accelerated sales around digital platforms, and we definitely see adoption around digital platforms, and all of those, as you would expect, have those product lines and those business lines growing at a much faster rate than the overall company. Is it at the sacrifice of traditional branch work? I wouldn't point to that, that's where it's all coming from. I would just say, more of our customers are focusing on more of the digital experience and how to drive that self-service mentality on the retail side through the consumer base.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Got it. And a couple of questions have been asked already about potentially higher levels of spending later in the year heading into 2018, because of regulatory and yield curve, higher interest rate, things like that. I'm more concerned about the nature of spend, of course, when banks, of course, loosen up their purse strings, what kind of spend do you expect to be? Is it going to be a little bit more professional services, more discretionary, or what are your conversations like today?
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, I think it all depends on the segment, right? So when you start looking at GFS, I do think, as those purse strings start to expand, you're going to see two primary spends. You are going to see in-house developed software, where you're going to look for customers looking for more leveraged, modern, transformative capabilities, and we've given several examples in today's call. So, where they're just not going to be able to modernize their internally built software. We're also going to see some of those customers, who are running some of our legacy solutions, want to modernize those platforms. So that would naturally drive more into the PS realm. The first example I gave would drive more in the product realm. In the IFS world, really, there's very little professional services. We've highlighted a couple of times some of the people-based businesses that exist in IFS, but they're really small in nature to the overall percentage. So, almost everything there comes in the form of product and product-related on-boarding. Typically, in that market, heavily weighted towards outsourcing, as you know, which is what we've seen in some of the margin expansions that Woody and I both have highlighted today.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Great. If I can sneak in one last one. Given the positive start to the year and I understand it's a little bit of the 1Q versus 2Q timing. But just given the positive start and the demand profile that's building and such, would you say that you are potentially more comfortable with maybe the upper part of the range that you'd given or is that – I mean, is that a fair comment?
James Woodall - Fidelity National Information Services, Inc.: Look, I'd tell you, Ashwin, we are pleased with the start of the year. We went into the year with high levels of confidence and being able to make the ranges we outlined to the market. I would tell you, we continue to be highly confident in the levels of ranges we outlined to the market, and are pleased with the start to the year.
Gary A. Norcross - Fidelity National Information Services, Inc.: Absolutely.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Okay. Thought I'd ask. Thanks.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thank you for your questions today and for your continued interest in FIS. Our deep focus in investment and financial services is allowing us to drive change in the industry. Our expanded scale, operating leverage, and investment focus on IP-led solutions that drive efficiencies, cost saving and transformation align to current client demand and are driving shareholder value. I'd like to thank our leaders and our more than 57,000 employees for their hard work and dedication in serving our clients. Most importantly, I'd like to thank our loyal clients, who depend on and trust us to keep their businesses running every day. It is because of our clients and employees that FIS continues to empower the financial world. Thank you for joining us today.